Operator: Welcome to LGI Homes Second Quarter 2021 Conference Call. Today's call is being recorded, and a replay will be available on the company's website later today at www.lgihomes.com. [Operator Instructions]. At this time, I will turn the call over to Josh Fattor, Vice President of Investor Relations at LGI Homes.
Joshua Fattor: Thank you. Good afternoon and welcome to LGI Homes' conference call to discuss our results for the second quarter of 2021 and the 6 months ended June 30, 2021.  Today's call contains forward-looking statements regarding our business strategy, outlook, plans, objectives and updated guidance for 2021. These statements, which speak only as of today's call and are based on management's expectations, are not guarantees of future performance and are subject to risks and uncertainties.  You should review our filings with the SEC, including our risk factors and cautionary statement about forward-looking statements section for a discussion of the risks, uncertainties and other factors that could cause our actual results to differ materially from those anticipated in these forward-looking statements. LGI Homes assumes no obligation to publicly update or revise any forward-looking statements.  Reconciliations of any non-GAAP financial measures discussed on today's call to the most comparable measures prepared in accordance with GAAP are included in the press release issued this morning and in our quarterly report on Form 10-Q for the quarter ended June 30, 2021, that we expect to file with the SEC later today. This filing will be accessible on the SEC's website and in the Investor Relations section of our company website.  Our hosts today are Eric Lipar, Chairman and Chief Executive Officer; and Charles Merdian, Chief Financial Officer and Treasurer. I'll now turn the call over to Eric.
Eric Lipar: Thanks, Josh. Good afternoon, and welcome to everyone participating on today's call. I'll start by sharing some highlights of our quarter before handing it to Charles to provide more details on our financial results. We'll conclude with a view on our performance in the third quarter and provide updated full year guidance.  We delivered the strongest second quarter performance in our history, exceeding our expectations and setting new company records for revenue, closings, absorptions and virtually all profitability metrics. The housing market remains incredibly strong, driven by dynamics that LGI Homes is uniquely well-positioned to capitalize on.  Here are a few highlights of our recent performance. Closings in the second quarter were up 42% over last year to a record 2,856 homes, and our average sales price increased over 15% to more than $277,000. This resulted in revenue increasing 64% to $792 million, a new second quarter record and the second best quarter overall in our history.  Our continued success at offsetting cost inflation enabled us to achieve gross margins of 27% and adjusted gross margins of 28.5%, both second quarter records. We achieved our lowest ever SG&A expense ratio that, in turn, helped drive a 460 basis point improvement in our pretax net income percentage to an all-time high of 18.8%.  Finally, our net income was over $118 million, representing an increase of over 112%. This was a second quarter record and the second highest net income in our company's history.  During the second quarter, we averaged 9.1 closings per community per month, company-wide. This was the second highest absorption rate in our company's history, exceeded only by our fourth quarter 2020 absorption rate of 10 closings per community per month. This quarter, Austin was our top market, with a new company record of 20 closings per community per month. Second was Houston with 13.1, followed by San Antonio with 12.7. Dallas-Fort Worth was fourth, with 12.5 closings per community per month, and Jacksonville closed out the top 5 with 11.9.  Our teams continue to manage through supply chain constraints, input cost uncertainty and availability of lots to build out. We have not seen a pullback in demand for homes related to declining interest in homeownership for affordability constraints. However, we remain focused on offering affordable homes that meet the needs of our target market.  For the quarter, our net orders were down 10% year-over-year, solely as a result of matching our sales pace with our capacity to deliver homes to our customers. We're releasing new homes for sale later in the construction cycle when there is more visibility into our costs, construction times and expected margins. In many of our communities, our sales professionals are maintaining long wait lists of potential buyers who are sidelined until either a new home is released or a current buyer cancels their contract.  Given the robust demand environment and the measures we've taken to support our margins, we expect to see continued negative near-term order growth, particularly in the third quarter as we compare our results to last year's strong comp.  I'll share a few more highlights of the quarter before handing the call over to Charles. Since our last earnings call, we made 2 opportunistic acquisitions to support our long-term growth objectives. On May 7, we announced the acquisition of R Home in Minneapolis; and on July 15, we acquired Buffington Homes in Central Texas. Both acquisitions complement our existing footprint and increase our land positions in attractive markets. We're pleased to welcome the employees of R Home and Buffington to our LGI team and know they will play an important role in our continued success. Finally, during National Homeownership Month in June, we closed our 50,000th home. This significant milestone in our history is a result of our ongoing commitment to help renters become homeowners, and a testament to the success of our unique business model which has proven so effective in making the dream of home ownership a reality for thousands of families across the nation. With that, I'll turn the call over to Charles for more details on our financial results.
Charles Merdian: Thanks, Eric. As highlighted in our press release, revenue in the second quarter increased 64.3% year-over-year to $792 million. This was our second best quarter in company history, surpassed only by our performance in the fourth quarter of 2020. As Eric noted, we closed 2,856 homes, a 42.4% increase year-over-year and an 11.5% increase sequentially. These closings included 430 homes sold through our wholesale business this quarter, representing 15.1% of our total closings compared to 199 homes or 9.9% of our total closings in the same quarter last year.  We continue to monitor costs and we're successful at raising prices to maintain our strong margins. Our average sales price during the second quarter was a record $277,140, a 15.4% increase over the same period last year. Price increases were driven by a favorable demand environment that allowed us to pass through cost pressures as well as increase closings in certain markets and changes in product mix.  Gross margin as a percentage of revenue was a second quarter record at 27% compared to 24.5% during the same period last year. This 250 basis point improvement year-over-year exceeded expectations and was driven by our success passing through cost increases, lower capitalized interest expense and continued operating leverage partially offset by higher lot costs.  Gross margin, excluding wholesale, was up over 300 basis points year-over-year and 55 basis points sequentially. Given our outperformance year-to-date and continued success managing cost inflation, we are increasing our gross margin guidance to a range of 26% to 28%, representing a 130 basis point increase on both ends of our prior range.  Our adjusted gross margin as a percentage of revenue was a second quarter record at 28.5% compared to 26.6% for the same quarter last year, a 190 basis point increase. Adjusted gross margin excludes approximately $10.4 million of capitalized interest charged to cost of sales during the quarter, and $1.4 million related purchase accounting, together representing approximately 150 basis points. Similar to gross margin, we are increasing our annual adjusted gross margin to a range of 27.5% to 29.5%, representing a 100 basis point increase on both ends of our prior range.  Combined selling, general and administrative expenses for the second quarter were 8.6% of revenue compared to 10.4% during the same period last year, representing an improvement of 180 basis points year-over-year and 100 basis points sequentially. This was the lowest SG&A expense ratio in our history, further highlighting the continued strength of demand across our markets.  Selling expenses for the quarter were $44.8 million or 5.7% of revenue compared to $30 million or 6.2% of revenue for the second quarter of 2020. The 50 basis point improvement was primarily related to operating leverage realized partially offset by higher commissions paid to realtors as a percentage of revenue.  General and administrative expenses totaled $23.3 million or 2.9% of revenue compared to 4.2% for the second quarter of 2020. The 130 basis point improvement, driven primarily by operating leverage resulting from higher revenue, increased absorptions and a larger percentage of wholesale closings. Given our performance year-to-date, we are lowering our full year SG&A expense guidance by 50 basis points and now expect a range between 9% and 9.5%.  EBITDA for the quarter was $159.8 million and EBITDA margin as a percentage of revenue was 20.2%, a 410 basis point increase over the same period last year and a 120 basis point increase sequentially. Our EBITDA margin in the second quarter was a new company record, surpassing our previous high of 20.1% in the fourth quarter of 2020. Pretax net income for the quarter was $149.1 million or 18.8% of revenue, an increase of 460 basis points over the second quarter of 2020 and a 130 basis point improvement sequentially.  This was a new company record, surpassing our previous high of 18.6% in the fourth quarter of 2020. For the second quarter, our effective tax rate was 20.8%, and given our performance year-to-date, we now expect our effective tax rate for the full year will range between 20.5% and 21.5%.  Our second quarter reported net income increased 112.4% year-over-year to $118.1 million or 14.9% of revenue, and our second quarter earnings were $4.75 per basic share and $4.71 per diluted share. Second quarter gross orders were 2,677, a decrease of 11.3% and net orders were 2,025, a decrease of 10.1% year-over-year. However, underlying demand remains robust and recent declines in our orders are a function of lot availability, pacing of sales and a desire to limit our buyers' time and backlog.  Our cancellation rate for the second quarter was 24.4%. We finished the second quarter with a backlog of 4,801 homes, representing an increase of 125.7% year-over-year. The value of our backlog on June 30 was $1.4 billion, an increase of 157.1% year-over-year.  During the quarter, we made significant progress acquiring land to support our long-term growth objectives. As of June 30, our land portfolio consisted of 75,910 owned and controlled lots, a 71.3% year-over-year increase and a 12.8% increase sequentially. We added over 6,800 new lots to our owned inventory and finished the quarter with 42,492 owned lots, an increase of 33.7% year-over-year and 10.4% sequentially. 7,859 of our owned lots were finished vacant lots and 29,885 were either raw land or under development.  During the quarter, we started over 3,200 homes and as of June 30, had 4,748 completed homes, information centers or homes in process. Only 360 of these homes were complete compared to 671 completed homes we had at the end of first quarter. This sequential decline further illustrates the strength in demand we are seeing across all our markets. Finally, the total number of lots under our control was 33,418, an increase of 166.9% year-over-year and 16.1% sequentially.  Turning to the balance sheet. We ended the quarter with approximately $111.7 million in cash compared to $48.2 million in the first quarter. The increase was attributable to excess proceeds from our new senior notes after giving effect of the temporary pay down of our credit facility. We expect our cash balance to return to a normalized level in the third quarter. During the quarter, we continued to strengthen our balance sheet and lower our cost of debt. On June 28, we successfully completed an offering of $300 million of 4% senior notes due in 2029, and used the proceeds to temporarily repay borrowings on our revolving credit facility. At the end of June, we had approximately $584 million in combined total debt outstanding under the 2026 and 2029 senior notes, and our available borrowing capacity under our revolving credit facility was approximately $715 million. Including cash on hand, we ended the quarter with total liquidity of $826 million.  At June 30, our net debt to capitalization ratio was 26.8% compared to 37% at the same time last year. And in conjunction with our notes offering, Moody's upgraded our credit rating to Ba2. This is another positive recognition of our outstanding growth, consistent profitability and the improvements we've made to our balance sheet over the last several years.  On July 15, we used amounts available on our credit facility to redeem all of our outstanding 2026 senior notes. In the third quarter of this year, we expect to recognize a $10.3 million expense for the early redemption of our 2026 senior notes and to expense $3 million of deferred financing costs and discounts that were previously being amortized in association with the 2026 senior notes. This refinancing successfully pushes out our debt maturity 3 years; result in interest savings of over $8.6 million per year; and in combination with the recent amendment of our revolver, will meaningfully lower the interest amortization reflected in our gross profit margins going forward.  In the last year, our shareholders' equity has increased by approximately $370 million to nearly $1.3 billion today. Additionally, as a result of our strong operating results and profitability, we delivered an industry-leading return on equity of 40.2% for the trailing 12-month period ending June 30. During the second quarter, we repurchased 335,000 shares of our common stock for $55.8 million. We ended the quarter with 24.6 million shares outstanding and $218.8 million remaining on our existing stock repurchase program. We expect to continue to return capital to our shareholders as a component of our broader capital allocation priorities.  At this point, I'll turn the call back over to Eric.
Eric Lipar: Thanks, Charles. I'll close with what we're seeing so far in the third quarter and provide an update on our current outlook for the remainder of the year. Q3 is off to a strong start. Subject to our normal review and verification of fundings, we expect to report 930 closings for the month of July, representing a year-over-year increase of more than 50%. Based on the results we shared today and our current outlook for the rest of the year, we're updating our full year guidance.  We now anticipate closing between 10,000 and 10,500 homes in 2021 at an average sales price between $285,000 and $295,000. We maintain our prior expectation of closing the year with 112 to 120 active communities.  Reiterating the outlook Charles provided in his comments, we expect gross margin in the range of 26% to 28%; adjusted gross margin in the range of 27.5% to 29.5%; and SG&A between 9% and 9.5%.  We're extremely pleased with our record-setting accomplishments during the second quarter and expect the momentum we've created will carry into the second half of the year. We remain focused on building, selling and closing homes and are well positioned to deliver on all of our expectations for this year.  That concludes our comments on the quarter, and we'll now open the call for questions.
Operator: [Operator Instructions]. And our first question will come from Deepa Raghavan from Wells Fargo Securities.
Deepa Raghavan: Eric, Charles, Josh, pretty strong ROE. In fact, the highest among the peers definitely in my coverage. Can you talk through some of the drivers within that, especially the ones that are sustainable and could help carry forward these strong ROE margins? And also, could you talk through those -- some that could be transitory?
Charles Merdian: Yes. Sure, Deepa. This is Charles. I can start. I think, first of all, operating margins are certainly contributing to that. So gross margin strength plus operating margins are certainly driving profitability in terms of what we're achieving in terms of net income. I think the other factor on what we're seeing is just the ability for our inventory turns to have increased as much as they have since the beginning of 2020.  We're now running at roughly about 1.3x in terms of our inventory turns, and that compares to about 1x historically, so about a 30% increase in inventory turn. So in other words, as soon as we're putting the houses on the ground, we're closing them and that is certainly helping to drive our return on equity.
Deepa Raghavan: Got it. I'm not sure if you have any comments on SG&A, I mean you touched on operating margins, is that SG&A being lower? Is that sustainable?
Charles Merdian: Yes. So our guidance implies that year-to-date is at 9.1%. Certainly, the second quarter at 8.6% was -- we're very proud of that accomplishment and that was driven by the top line, also driven by absorptions coming in at 9.1% this quarter.  So we're implying that the back half of the year is going to be in the 9% to 9.5% range for the third and fourth quarters, so that the full year stays within the range. So we continue to see savings in our advertising and marketing spend, given the demand environment. It's unknown whether -- how long that continues or when that starts to shift, in terms of when innate demand comes into play. And then certainly from the G&A side, certainly driven by flat community count, as well or in terms of negative community count, this year so far has certainly contributed to a lower G&A as we're not expanding our employee base as much as we otherwise would if community count was increasing.
Deepa Raghavan: That's helpful. My follow-up is on your order commentary. Based on the visibility that you have now, Charles and Eric, driven by your community count availability, et cetera. Would you say Q3 is the worst order years or the worst order quarter for the year? Or should Q4 be impacted significantly as well?
Eric Lipar: Thanks, Deepa. This is Eric. Yes, great question. And orders is one of the challenges we have if one is to say as a challenge. We think it's very positive because our backlog is so strong, we had such a strong first quarter in sales, selling out ahead of ourselves. And now we're just catching up in construction. Because of the cost inflation we were seeing, we decided to make a decision to not price our houses and sell them. And so we were comfortable with the cost and also comfortable with the construction finalization date or the completion date, so we can provide exceptional customer service to our customers and know where they're going to move in.  Fortunately, for us, the third quarter closings were basically sold out. The houses that are available to close in the third quarter, almost all of them have contracts already in place. So we are not creating hardly any new orders on a week-to-week basis. We think that's a good thing. But when you start comparing orders in Q3 compared to last year's Q3, it's going to be substantially down. Now in Q4, we don't have as much of a backlog already sold. So we think orders will be better, if you will. But having a very strong, like backlog creates this dynamic. But again, we look at that as a positive.
Operator: And our next question comes from Truman Patterson from Wolfe Research.
Truman Patterson: Just wanted to follow up on the prior question. No, I think right now, demand is strong enough that really orders going forward will really just be dependent on whatever the builder is willing to release for sale. Some builders are discussing what their quarterly starts capabilities are or just active lot count that can be sold.  So I'm just hoping that you can give us an update of how you're positioned in the back part of the year? And also trying to understand maybe the timing mismatch as you're starting to rebuild your spec count?
Eric Lipar: Yes. Truman, this is Eric. I can start and Charles can add. I think we're very well positioned. Again, having a very strong backlog is very positive for us. The construction teams nationwide are doing a fantastic job of delivering houses. You're in an environment where we had a very strong closing quarter and we're raising our guidance to give everybody an indication of how strong we feel about the second half of the year. We're raising our closing guidance, and we're confident our construction team can deliver the necessary houses to hit those closing guidance.  And I think the overall message on orders, again, it comes back to timing. We had such a strong quarter in the first quarter sales. And with our sales focus here at LGI, in the first quarter, we were selling houses not only that we're finished, but once those were sold, we sold them in frame stage and then sold them in slab stage, and then we sold the next set of starts for the next few months, and got way out ahead.  And we were building increases in our prices to cover the cost of inflation or what we've historically seen, but that wasn't enough in a lot of cases. So we said no, there's not a lot of reward to keep pricing houses that aren't going to deliver literally for a few quarters down the road.  So let's retract that and we had this big pipeline. And when we said we're not going to make a house available to sell until that house is really in slab stage or the frame has dropped. It's a little bit specific to the market, where we're comfortable knowing exactly what costs are going to be for that house. We can price it accordingly based on our margin, and we're very comfortable providing that exceptional customer service to our buyer that says we are going to be delivering the house and you're going to be moving in on this date. The other factor that was important to us, is -- and I don't think this has been consistent in the industry, but we make all our decisions based on the core values of the company. And when we put all these houses under contract in the first quarter, we did not build in enough inflation in a lot of cases, but we signed a contract with a customer. We told them we're going to close at this price, and we have not canceled any customer contracts because we are not happy with the margins that we're making.  We're not losing money on houses. In some cases, we're not making as much money as we would have made previously. But we believe it's the right thing to do, and that's the message we've been sending to our customers and employees across the country, because that -- not all builders are doing that. We hear media reports and different builders in different markets, cancelling contracts, redoing and selling them to other customers at higher prices and we're honoring all the customers that we sold, and we feel very good about that.  The other thing that I think is important Truman, that I'll add is we haven't changed our business model at all. We're not a build-to-order builder. We don't have a design center. There's no options.  We're still a spec builder, where we have 4 to 5 floor plans per community, we preselect the fit and finishes and we sell. In the first quarter, we were selling that floor plan, the customer look at the house and know exactly what they're getting, but it wouldn't deliver for a couple of quarters. So no change to our business model and real positive thoughts on how we're treating customers and real positive demand we're seeing in the market.
Truman Patterson: Yes. No, absolutely agreed, building in kind of pricing contingencies, I think to an extent, damages reputation long term. Understood on that. You touched on this in your answer, but I'd like to dig in a little bit more on -- you bumped up your gross margin guide. If we look at it, the midpoint implies kind of flattish gross margin sequentially the rest of the year. And you left the full year guide, the spread pretty wide of about 200 basis points.  I would imagine, given the size of your backlog, you have a pretty decent idea of the margin profile in the back half of the year. Could you just help us understand what some of these items are that might push you toward the lower end or the higher end of the guide?
Eric Lipar: Yes, Truman, great question. I can start. We do have a very strong backlog. We've got the prices to the customer locked in. But one of the things that's still open on the gross margin, very positive to us the fact that we raised gross margin, but a lot of the houses that are going to deliver this year aren't started yet. They'll be started in August, September in some cases, even October. So those costs are a little bit unknown. They seem to be trending in the right direction over the last 30 to 60 days. So that's a positive. If that trend continues over the next 60 to 90 days, that would probably indicate we may be at the higher side of our gross margin.  But I don't think anyone is real comfortable saying there may be more cost pressures over the next couple of months or supply chain shortages. That would be one aspect of that.  And then also the mix component of different parts of the country have different gross margins are comparables, very similar gross margin nationwide, but it will matter where those closings come from in the back half of the year.
Truman Patterson: Good luck on the coming quarter.
Eric Lipar: Thank you.
Operator: And our next question comes from Michael Rehaut from JPMorgan.
Margaret Wellborn: This is Maggie on for Mike. First question on kind of how to think about closing pace through the balance of the year. I think last quarter, you had made a comment that it would be kind of reasonable to expect something similar to 1Q.  Obviously, Q2 pivots higher and your closings range for the rest of the year, combined with the community count outlook kind of implies a step back down. So wondering if you could give some color about how we should be thinking about the closings pace?
Eric Lipar: Yes. This is Eric and Charles can add to it. I think the closing page, we're very comfortable with our guidance. No question, 9.1% closings per community per month in the second quarter is very strong absorption pace, highest second quarter in history, especially with the average sales prices of where we're at.  So we're forecasting absorptions going down in the second half of the year. That's just the math of it. But we don't look at that as slowing or a negative, that's just getting back to more historical absorptions or really still elevated but just not as strong as the 9.1% closings per month that we experienced in the second quarter. Just because we just don't like to forecast and guide to the best quarter in company history. That's a high bar. We want to be shocked if we don't produce great numbers in the third and fourth quarter, but that's not how we give guidance.
Charles Merdian: Yes. The other thing I'd add, Maggie, this is Charles, would be that we have a number of high-performing communities that are closing out, and those are coming up. So in terms of forecasting as we transition the replacement or potentially have a gap between those communities, we certainly think that's a factor in the back half of the year as we transition from one community to the next.
Margaret Wellborn: Got it. And second question, looking to 2022, and I recognize that it's still probably early -- it's still too early to give official guidance. But directionally speaking, how are you thinking about your ability to grow closings next year, particularly given that you're forecasting the order declines in the near term. And I believe in the past, you've kind of spoken to a flattish community count outlook for the year.
Eric Lipar: Yes, it's a great question, Maggie. You're correct. We're not giving guidance on closings for '22. We have said in the past, we expect community count to be similar. And that would still be our expectation today.  Community count is interesting because even our guidance this year, 112 to 120, the stronger closings are in the back half of the year, the lower the community count is going to be. So no one's really hoping for weaker community count or weaker closings, just have higher community count. So if you operate from the standpoint of communities are going to be similar end of year next year compared to end of year this year, then it's really what's the absorption that everyone's going to expect. This year is likely to end up on an annual basis with our guidance we're giving. It's going to be the strongest absorption in our history. That's just a mathematical fact.  So when investors and all of you are thinking about what closing is going to be next year, it's really a question of what everyone believes absorption is going to do. We'll get back to everyone on our guidance for next year. But obviously, if absorptions are as strong as they are now, it will be a similar number. If absorptions go down to go back to historical averages and for us at 6 to 7 a month, then closings will be down last year, and that's just next year. That's just a math equation.  So we'll get back to everyone on absorptions, but we feel like it's going to be a strong absorption pace either way. But 9.1% as a comp and where we're going to end up this year is going to be an unbelievable year from an absorption standpoint.
Operator: And our next question comes from Jay McCanless from Wedbush.
Jay McCanless: The first one I had, just looking at the order absorption pace that you had in the second quarter, it looks like roughly 6.4 per month. If we took that forward to the third quarter, where do you think that's going to end up for an order percentage being down like 40% to 50%? Is that where things are tracking right now?
Eric Lipar: Yes. I think at least that much, Jay, just because we have nothing to sell. Orders would be a lot stronger if we release more inventory, but it's probably going to be even a greater percentage than 40% to 50%. Now it depends on what happens for the rest of August and September, but it's going to be substantially down just because we have nothing to sell, and we're doing that on purpose.  So I just want to make sure I reiterate we're talking a lot about orders, but the demand we're seeing, as soon as we release homes for sale that we're comfortable with the cost and delivery date, they sell immediately.  As soon as a customer cancels primarily related to financing, there's another customer coming off our waiting list and putting that house under contract. But when we have a cancellation to replace it with a customer that's likely to be at a much higher average sales price, that does not create a net order. It's just a wash and order standpoint. So real strong demand environment don't get us wrong. It's just the math of the orders is going to be substantially down in the third quarter.
Jay McCanless: Got it. Okay. The second question, your cancellation rate looks like for the actual second quarter can rate was down about 90 basis points year-on-year. I mean, is all that just related to the cans that you're getting now? Or just strictly people who the mortgage letter falls through? It's not anything about people not wanting the house anymore. What -- just flesh that out a little bit more for me, if you could.
Eric Lipar: Yes. I think it's all mortgage related as it is, most times. I mean our customers under contract, the customers that bought or place an order, if you will, in the first quarter. They've got a lot of built-in equity in their houses, prices went up and really every community nationwide. So everyone would like to close, sometimes life gets in the way and things affect the mortgage business that they're not able to, but it's almost exclusively mortgage related.
Jay McCanless: Okay. All right. That's good to hear. And then the last one I had, it just seems like with your backlog, you've got enough homes in the backlog right now to meet your guidance -- closing guidance for the year. Seems like you've still got the pricing. Just wondering, and you did a 27% gross margin essentially in the front half. Just wondering why you didn't take the low end of the gross margin guidance up higher?
Eric Lipar: I think it goes back to the uncertainty on costs, Jay, and a little bit of mix. Like we previously said, we're still -- want to make sure we got enough cushion in there for potential cost increases for our August, September and October starts.  The wholesale business has a impact on gross margins. It was 15% of our closings in Q2. We are still on track for that to be 10% to 15% of our business in Q3 and Q4, but that will have an impact on that percentage and whether we're at the high to middle end of the range, certainly accretive to return on equity, operating margins, very strong demand. We're seeing the wholesale business, but that will have an impact, and we take that into consideration when we publish guidance.
Operator: [Operator Instructions]. And our next question comes from Alex Barrón from Housing Research Center.
Alex Barrón: Yes, good job in the quarter. I wanted to ask, I know your build time historically has been in the neighborhood of 60 or 62 days, or something like that. How -- what does that look like these days given all the supply chain constraints?
Charles Merdian: Yes. Great question, Alex. This is Charles. I mean it is definitely extending out. I mean we are seeing delays in terms of the supply chain, in terms of ordering, lead times are increasing. We're managing around that.  Our construction teams are doing a great job of working through those challenges, if you will, it's market specific. So depending on the market, for example, one market and maybe brick, another market may be something like windows or garage doors or some of the things that we've been working through. But lead times are definitely impacting construction delivery dates by several weeks. We're building it into the schedule and then just managing the schedule around it.
Alex Barrón: Okay. I mean I know also, historically, you guys have always kind of built and I guess, closed a lot of houses before you even find buyers. And I guess now the market kind of flipped, where demand was so strong that you guys are now even selling, like you said, at foundation stage. So my guess is that you're trying to rebuild the pipeline of spec inventory. So can you talk about what your starts look like, what your plan is for starts in the back half of the year? How you guys are thinking about it going forward? What your ability is to start specs to replenish that inventory?
Charles Merdian: Sure. Yes, we had roughly about 3,200 starts in the second quarter. Our finished completed inventory was down to about 360 units at the end of the second quarter. So we've never seen a number that low in our history, to your point about really selling in advance also goes back to the inventory turn comment we made in terms of how we've been able to deliver a strong return on equity.  But we've got 4,300 houses that are in some stage of construction. And I think we're releasing what we feel like is a comfortable number on a community-by-community basis. So in some markets, like Texas, for example, we can release more units at one time than we would maybe, say, in another market. So I think it comes down to a lot availability.  We had just under 8,000 finished lots. And given our closing pace, that would be less than we normally would like. We'd like to have 1 year's worth of supply of vacant finished lots. So we're a little under on that.  We've got 11,000 units that are currently under development of our nearly 30,000 that we have in raw and under development, 11,000 of those are actively being developed. So I think the idea is that depending on the community by community specific, if we've got lots available to start and the demand is there based on what we're seeing. In terms of contracts, then we're starting as many as we can in that community and just continue to manage it that way.
Alex Barrón: Got it. And then just to focus in on the delivery side a little bit. So you guys just kind of gave us an estimate for July. So am I to imply based on the order trends and on this that it's more likely than third quarter deliveries will end up being higher than fourth quarter? In other words, they will be similar to the dip you're seeing in orders now that will follow through in fourth quarter? Is that reasonable?
Eric Lipar: Yes. I mean it could be, Alex. I mean I think we're not getting that much specifics on community count. But certainly, the third quarter is off to a great start with closings, with 930 in July.
Alex Barrón: Got it. And if I could ask just one last one. The margin on these new homes that you're now starting and selling, is it your sense that it's -- or the homes in backlog, is it your sense that it's better than what you've delivered so far?
Eric Lipar: Overall, it should be better. I think that's reflective in our gross margin. There's a lot of case-by-case because of markets, but our backlog does have a lot of houses that were sold in the first quarter. Recent sales do have better gross margin than the backlog. That is generally a true statement.
Operator: And our next question is a follow-up from Truman Patterson from Wolfe Research.
Truman Patterson: Just a couple of follow-ups here. First one on affordability. You all historically focused on affordability and kind of driving the lowest monthly mortgage payment. And oftentimes, we think of it as a spread versus a rental payment. In the areas and renters that you're targeting, how does that spread look like today versus maybe a year or 2 ago? I'm trying to understand how much rental payments in your areas are kind of keeping up with home price appreciation.
Eric Lipar: Yes. I think Truman, how we look at it is it's always been more expensive to buy a home from LGI than to rent, but you're usually not comparing apples-to-apples. Traditionally, our numbers always showed that to rent an apartment that's usually 1 or 2 bedrooms where most of our buyers come from and to go into 1 of our LGI homes, including taxes and insurance, owner association dues, it's $500 to $600 more a month.  One of the things that we're looking at is our average sales price is up, I believe, about 15% year-over-year. And that's a few hundred dollars or $100 a month probably in payment. So that's what we're closely monitoring, affordability is important. Obviously, all of us have seen the benefits of rates staying real low. So even though the average sales price is higher, it hasn't had that big of an impact on monthly payment. And I do think we're hearing from the field and seeing our buyers are more qualified than ever.  For the first time in our history last quarter, our partner, loanDepot, and the mortgage business reported our average credit score was 708. And that was the first time that our average credit score was north of 700, and our debt-to-income ratios are lower than they were a year ago. So those are both positive signs as far as the buyers and their ability to take on the additional pricing, if you will, and still feel good about it.
Truman Patterson: Okay. And then just a follow-up on 2022 kind of community count and potential there. Look, I appreciate you're not forecasting demand or anything like that, and it depends on what absorptions are. But if we just play kind of a hypothetical and say that absorptions remain elevated and could even possibly expand based on demand.  I'm just trying to understand what sort of internal capabilities you all have from a starts metric per community or just overall, I believe, you started about 3,000 starts in each of the past couple of quarters. Is that a comfortable pace for you all? Trying to balance this with you all have 11,000 lots that are actively being developed? Just trying to understand what potential upside there might be.
Eric Lipar: Yes. I mean there's upside to how many we can start per community. And I think even Austin, Texas and Houston, San Antonio, when you get absorptions of 12, 13, 20 a month in the case of Austin, I mean that's just a testament to our construction team and our leadership team doing an unbelievable job, because most builders don't have the ability to start build and close at those type of paces.  Going back to your question, the total number available to homes doesn't change in a lot of cases. So if we have a community that has 100 lots to build on, if we're building at an 8 a month pace or a 12 a month pace, you're still going to end up with the same month closing. It's just your community count is going to be -- you're going to go through it quicker, if you will. We'll be sold out of that community at 12 months and 8 months or at 8 months it will be sold out in the year. So the overall absorption doesn't change. So we have to look at that on a community-by-community basis.  We have the ability to ramp up starts, no question, but you also have to have the ability to last ahead of you and getting ready. And there's a lot of timing challenges for us and for the industry right now, because our absorptions are literally 30% to 50% higher than they've been over the last couple of years.  And our development forecast and our planning on putting lots on the ground was not based on this absorption. So we are behind schedule, if you will, on putting new sections on the ground or buying replacement projects. And of course, everybody knows the new deals we're buying primarily buying land to develop ourselves. And when we buy a raw piece of land like we've been doing a lot of here over the last 12 months as evidenced by our numbers, it takes 24 to 36 months for us to take a piece of raw land and convert it into home closings.
Operator: And our next question comes from a follow-up from Alex Barró from Housing Research Center.
Alex Barrón: I know historically, you guys have sent a lot of mailers and stuff like that to people. So I'm guessing a lot of your historical buyers have been renters, but we've been hearing that there's also a lot of influx of out-of-state people coming into places like Texas and Florida from California and New York. So I'm curious if you guys are also seeing that pickup in those types of buyers? Or are you still generally seeing the same profile of buyers you've seen historically?
Eric Lipar: Yes. It's a great question, Alex. And I don't think we have really good data on that, but we are hearing and seeing evidence that we are seeing out-of-state buyers for sure. A lot of those individuals are still renters that are coming into this market and just moving from those high-cost markets or more shut down markets, if you will, moving to Texas and finding employment here with all the job growth that we have, and also moving to a lot of the markets that we do business in.  The Carolinas is real strong for us. Florida is a great, great market for us. Phoenix, Las Vegas, we're in a lot of really good job growth market. So we are seeing some of that. We also see more investor activity, most -- not only from our wholesale business, but also the non-investor, buying 1 or 2 or 3 houses at a time. That is certainly elevated right now.  And just the overall demand in the market right now is as good as we've ever seen it. And I think all these factors contribute to that. And when we're talking about what does the market look like at '22 or '23 or '24, we're going to assume that it goes back to a more normalized market, more of a 2017, 2018, 2019 market, and we're back to going directly to the customers that are paying rent through social media, through direct mail. Right now, with our backlog all sold and not having very many homes to sell, we're spending very little money on marketing. That's helping the SG&A numbers like Charles talked about.
Alex Barrón: Okay. And then on this issue about what stage to sell the homes generally speaking, what's your thought process at this point, given supply chain, given the time it takes to build the homes, where are you guys optimally pricing the houses at this point? I'm guessing it's no longer a foundation, but just curious if you can comment on that.
Eric Lipar: Yes. We're putting houses on the price list for our sales team to sell when we're comfortable that we understand all the costs, and we're comfortable with the schedule when that house is going to be complete. And that's a little bit different than every market. But essentially, a lot of times it is when the slab gets done or when the frame drops, and you're into construction at some point, where you're comfortable that you're going to have the appliances, you're going to have the windows, you're going to have the break, and we can provide a date to a customer that both of us can feel good about that we can deliver.
Operator: And our next, we have a follow-up question from Deepa Raghavan from Wells Fargo Securities.
Deepa Raghavan: Eric, a little -- somewhat of mixed messages. I mean, underlying, you're hitting numbers pretty strongly, but you are definitely tempering some of our expectations going forward. Just curious, are you planning for more like a normalized 6 to 7 absorption pace going forward? Or you think 7, 8 is still not off the table, just given whatever your internal outlooks are?
Eric Lipar: Yes. It depends on what category we're talking about Deepa, I think our optimism is as high as it can be right now, coming off 9.1% closings per month, 28.5% gross margins, 18.8% pretax, 40% return on equity. That is as good as -- yes, that is the best quarter in LGI history and everybody is very excited about that.  We are not giving guidance for '22, but I would think most people in the homebuilding industry that have been doing this for 25 years like we have, if you say what is '22, '23, '24 are going to look like, and for our history from 2014 through 2020, we've been in the 6 to 7 closings a month, and then this year goes to 8 to 9. And same with average sales price and average gross margins, we're going to forecast as far as our buying our land deals and how we're underwriting deals and how we're thinking about capital we're going to forecast historical absorption rates, historical margins, not best quarter in the history of LGI carrying on for the next 3 years.
Deepa Raghavan: Okay. The 11,000 lots being developed, you also mentioned that's less than 1 year's worth of supply. Did I hear that right? I mean you're only closing like 10,500 this year?
Charles Merdian: Yes, it was -- Deepa, this is Charles. It was just under 8,000 finished vacant lots that was under the year supply, with 11,000 under active development.
Deepa Raghavan: And how much of this 11,000 active development can be released next year?
Charles Merdian: Yes. They're in various stages. Some of them are nearing completion. Some of them are just getting started. So to Eric's point, it takes a couple of years over on a project-by-project basis to deliver lots. So they'll stage in throughout the next 24 months.
Operator: I am showing no further questions. I would now like to turn the call back over to Eric Lipar for closing remarks.
Eric Lipar: Thank you for participating on today's call and your continued interest in LGI Homes. Everyone, have a great day. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.